Operator: Good morning, and welcome to the Fourth Quarter Conference Call for Graco, Inc. If you wish to access the replay for this call, you may do so by dialing (855) 859-2056 within the United States or Canada. The dial-in number for international callers is (404) 537-3406. The conference ID number is 5162659. The replay will be available through 2:00 p.m. Eastern Time, Tuesday, February 2, 2021. Graco has additional information available in the PowerPoint slide presentation, which is available as part of the webcast play. At the request of the company, we will open the conference up for questions and answers after their opening remarks from management. During this call, various remarks may be made by management about their expectations, plans and prospects for the future. These remarks constitute forward-looking statements for the purposes of the Safe Harbor provisions of the Private Securities Litigation Reform Act. Actual results may differ materially from those indicated as a result of various Risk Factors, including those identified in Item 1A of the Company's 2019 Annual Report on Form 10-K and in Item 1A of the Company's most recent Quarterly Report on Form 10-Q. These reports are available on the Company's website at www.graco.com and the SEC's website at www.sec.gov. Forward-looking statements reflect management's current views and speak only as of the time they are made. The company undertakes no obligation to update these statements in light of the new information or future events. I will now turn the conference over to Kathy Schoenrock, Executive Vice President, Corporate Controller.
Kathy Schoenrock: Good morning. I'm here today with Pat McHale and Mark Sheahan. Our conference call slides have been posted on our website and provide additional information that may be helpful. Sales totaled $470 million this quarter, an increase of 14% from the fourth quarter last year, and an increase of 12% at consistent translation rates. Net earnings totaled $115 million for the quarter or $0.66 per diluted share. After adjusting for the impact of excess tax benefits from stock option exercises, net earnings totaled $106 million, or $0.61 per diluted share. Gross margin rates increased 130 basis points from last year's fourth quarter. Realized pricing and foreign currency were favorable in the quarter. Mix was also favorable as we saw the margin impact of sales growth in our higher margin Industrial segments more than offset the continued strength in our lower margin Contractor segment. Operating expenses increased $7 million in the fourth quarter as compared to a year-ago due to increases in sales and earnings based expenses and higher product development costs. The reported income tax rate was 11% for the quarter down five percentage points from last year, primarily due to an increase in tax benefits related to stock option exercises. After adjusting for the effect of stock option exercises, our tax rate for the quarter was 18% slightly lower than the fourth quarter last year due to additional foreign income taxed at lower rate. Cash flow from operations totaled $131 million in the fourth quarter and $394 million for the full-year. Discretionary cash outflows in the quarter included the final repayment of $125 million of the $250 million borrowed on the revolving credit facility in the first quarter. We also made a voluntary contribution of $20 million to our U.S. Pension plan. For the full-year 2020, dividends paid totaled $117 million and capital expenditures were $71 million. A few comments as we look forward to 2021. Based on current exchange rates and the same volume and mix of products and sales by currencies, the effect of exchange is currently expected to benefit sales by 2% and earnings by 6% for the full-year, with the most significant impact coming in the first half. Unallocated corporate expenses are projected to be $30 million and can vary by quarter. The effective tax rate for the year is expected to be 18% to 19%. Capital expenditures are expected to be $115 million including $80 million for facility expansion projects. We may make share repurchases in 2021 by opportunistic open market transactions for short-dated accelerated share repurchase program. Finally, 2021 will be a 53 week year with the extra week occurring in the fourth quarter. I'll turn the call over to Pat now for further comments.
Pat McHale: Thank you, Kathy. Good morning everyone. All my comments this morning will be on an organic constant currency basis. The second quarter in a row, the Contractor segment exceeded 30% growth and ended the year with record sales and earnings. Contractor grew in all regions during the quarter and for the year. Residential construction activity remained solid and the Home Improvement market robust. Contractor North America saw strong out-the-door sales in both paint and home center and we continue to work hard to maintain adequate channel inventory. The Industrial segment grew mid-single-digits for the quarter, but still ended the year down 10%. Compared to the previous three quarters, activity improved in some key end markets like spray foam, electronics, and battery. Access to industrial facilities remains limited but coding activity has improved. The Asia-Pacific region was up versus last year's Q4, which was particularly weak. Price realization, solid factory performance and good expense management, combined with improved sales, resulted in strong industrial operating earnings for the quarter. Process segment sales declined 10% to both the quarter and the year. A number of markets on our Process segment remain challenged, particularly those related to the vehicle lubrication, or oil and gas sectors. Heading into 2021, we expect challenging end market conditions to remain in place in our Industrial and Process segments for at least the first half of the year, as lockdowns persist and access to customers remains limited. Our outlook for the Contractor segment remains positive as favorable conditions continue and demand has been solid to start the year. Thanks to our outstanding employees, suppliers and distributor partners, we were able to keep our factories and distribution centers fully operational, avoid layoffs and wage reductions and fully invest in our core long-term growth strategies of new product development, channel expansion and new markets. A special thanks is in order to our Contractor employees and the employees from other factories who relocated to the Contractor factory to assist with the large demand spike in the second half. From the sales team to the shop floor, the Contractor team worked incredibly long hours, maintained a positive attitude and were committed to doing whatever it took to get the job done. Culture matters and they are winners. We exited the year with momentum and look forward to the fight again this year. Operator, we're ready for questions.
Operator: Thank you. The question-and-answer session will begin at this time. [Operator Instructions]. Our first question will come from the line of Deane Dray from RBC Capital Markets. You may begin.
Deane Dray: Hey, can we start in Contractor, just a couple of things. One is what's the visibility beyond the six weeks average orders that you've given, which we appreciate, but just what are kind of the data points are you using, you say expect to stay robust, your line of sight into that. And then also you called out some mix issues in the segment, maybe you can clarify that too, please.
Pat McHale: Those are book and bill business. So we're always interested every weekend what's happening with incoming order rates. However, when you take a look at the macro, our residential construction looks like it's going to remain in pretty good shape through 2021. So we expect to capitalize on that. And at least currently, what we're hearing and what we're seeing there doesn't appear to be a big pullback in what's happening with home centers, work-from-home business. So we feel like based upon the orders at the start the year and what we're hearing in the marketplace, that we've got a good shot of having a successful year in Contractor despite the fact that we do have some very tough comps that we're going to be up against, as we get into the peak that we hit this year. In terms of the mix issue on Contractor, typically that's just a mix issue between selling more of the smaller units than the larger units or home center business versus propane.
Deane Dray: All right, that's helpful. And then just as a follow-up, can you clarify for us on what the opportunity is in batteries, I mean when we talk to our auto analysts, he keeps emphasizing all the growth in batteries and capacity that's coming on new technologies and just remind us where and how does Graco play in that market?
Mark Sheahan: Yes, Deane it’s Mark and we play in our Industrial segment in areas where customers are putting in new battery facilities and they're looking to use fluid compounds to either do bonding of various components of the batteries themselves or we also get involved in what's called thermal interface materials, which are highly reactive abrasive materials that are put down to dissipate heat on batteries are actually being used. And we have the equipment and the expertise to get involved in those applications along with our distributor partners to put together nice packages for the end users. So as long as there's demand for batteries, we expect that we're going to get a fair shot at being able to be involved in those opportunities.
Deane Dray: Got it. And if I could just squeeze one more question in, can you talk about pricing expectations, I know it's beginning of the year is when you put through pricing. What are the dynamics this year and anything contribution from new products you expect to launch? Thanks.
Mark Sheahan: Yes, pricing ought to be like it is typically; we generally put through a modest price increase each year and expect to realize somewhere in that 1.5% maybe up to 2% realized pricing. And I don't think this year is going to be really anything different on that. We did not cut any of our new product investments or a new product programs. So we feel like our new product pipeline for 2021 and even going into 2022 looks pretty good.
Operator: Thank you. Our next question comes from the line of Saree Boroditsky from Jefferies. You may begin.
Saree Boroditsky: We're hearing that there's a lot of capital being spent on automation in China right now. Could you comment on what you're seeing there that drove the pickup in Industrial? And then do you think that COVID will increase the demand for automation in factories globally?
Pat McHale: So there's a lot of talk about COVID increasing the demand for automation. I think we saw the demand for automation trend that's been a multi-year trend, that's really nothing new. Well, we'll add a little bit of juice to the fire for some folks, I suppose that it probably well. In terms of our Asia-Pacific performance, it was good vis-à-vis 2019. But I would remind you that we did have a pretty weak fourth quarter that we were comparing to. So well, business is improving there. We definitely need to see strength globally to get maximum performance out of China, because a lot of their work, of course gets exported.
Saree Boroditsky: During last quarter, I believe you talked about being surprised as Industrial and Process demand has not kind of moved together. The Process does seem to be lagging here. Did you expect the sales there to bounce back, as we've seen in Industrial?
Pat McHale: Yes, I would say that I was a little bit surprised, but not terribly, because within Process, we've got some segments that have felt more pain than others. And particularly I referenced the vehicle services and oil and gas industries. And so they've actually taken the average in that Process segment down, and so we need to see some recovery there.
Saree Boroditsky: And then if I could just one last question, similar to the question on batteries. There's been a lot of talking about auto industry about the amount of capital needed to support electric vehicle production. Have you looked into what that opportunity means for Graco? Thank you.
Pat McHale: Yes, a lot of our applications in automotive are going to be the same whether the car has got gas engine in it, a diesel engine in it, or an electric motor in it. We do a lot of seam sealing, we do bonding, we do sound deadening, we do anti-flutter, we do lightweighting activities. Obviously, we do finishing systems. So those necessarily aren't driven by just what's happening with the drivetrain. We're trying to capitalize where we can in markets like battery that Mark gave you a nice summary on. And we don't today get a lot of work on the actual drivetrain itself. We don't sell a lot into direct drivetrain manufacturing. So I don't view the switch to electric vehicles as to being a major change in the business for Graco.
Operator: Thank you. Our next question will come from the line of Mike Halloran from Baird. You may begin.
Mike Halloran: Just a quick clarification on the last question, so Pat, you're saying price got positive is still what you guys are entering despite the inflation and still thinking about a more normal price increase.
Pat McHale: I talked about what I thought a realized price increase would be. We're definitely seeing some commodity inflation and how that's all going to play out, I'm not sure, unless in volume I think our factories are going to perform. So I feel pretty good on the overall cost side despite the fact that we'll probably get some commodity pressure. And the other thing that I would point out is, is that historically, when we see commodity pressure, we have good -- years of good top-line performance, that tends to get a lot of things going that are in our wheelhouse. So, well, I love to have strong top-line and commodities getting weak. Typically, we don't see that. And I think it's actually a positive sign.
Mike Halloran: That's helpful. And then maybe some context on the Industrial segment. I mean two things here, one sustainability of the momentum that you saw kind of sequentially through the quarter, obviously little different sequentially on the revenue line versus what the order trend seems to be, but maybe some thoughts there and any specifics on end-markets, auto, anything else of size, that that you think is moving the needle one way or another?
MarkSheahan: Yes, Mike the business tempo in Industrial, obviously did get better in Q4, but we hope it continues here as we get into the first half of the year. Profitability was way up, as you saw in Q4, some of that was due to just the fact that we have some lower spending as a result of COVID. I would expect that as our teams get back out on the road, and we start re-engaging with customers and moving around that we'll be spending more. And also, the incentives for that particular segment haven't been great this year with business being down. So there's going to be a normal uptick in spending. Hopefully, the volume tracks with that it should, and that we're able to put up a decent operating margin performance here in 2021.
Mike Halloran: Helpful. And then last one, I'm sure the answer probably hasn't changed a heck of a lot here, but just thoughts in the M&A environment from your perspective and actionability, as you see it today?
Pat McHale: Still expensive and while we'd like to do something bigger, my guess is what you'll see is niche type things that we can leverage into either existing businesses or that we think we can build on and I wouldn't anticipate in this environment that you should bank too much on anything big happening.
Operator: Thank you. Our next question will come from the line of Bryan Blair from Oppenheimer. You may begin.
Bryan Blair: So a couple of follow-up questions. I apologize; I missed some of the detail in prior responses. Starting with the Industrial rebound in Asia-Pacific, admittedly versus a weak comp last year, how much of that was driven by automotive lift? And how does that sector momentum if we're correct in that refactor into the six week booking rate to kick off 2021?
Mark Sheahan: Yes, Bryan, we don't break out the automotive portion of the business. Number one, it's really hard to quantify it, we sell through distribution, and then we don't exactly know where stuff goes. And number two, just for competitive reasons; we don't think it's a good thing to do, if we had the data available. So I would characterize it as more of a broad base recovery across the Industrial product categories. As you mentioned, the comparison was really pretty, pretty low for them in Q4, I think last year, Industrial was down around 26% or 28%, in Q4. So they made a comeback. And on a full-year basis, Asia is down 1%. But for the full-year, last year, Asia was down about 19% last year on a full-year basis. So we're encouraged by the momentum that we're seeing. But hopefully, the business continues the tempo stays and we should see a decent year here in 2021.
Bryan Blair: Got it. And then on Process trends any areas of sustained pressure there. The lubrication business and oil and gas, I get to address the second. First, I believe oil and gas exposure is very modest following your Alco divestiture, is that correct? And then with lubrication, I would assume that you have some sequential momentum there. But perhaps I'm overlooking the timing of spending, any color would be helpful.
Pat McHale: Yes. So we don't want to break out sequential momentum by individual product line within a segment that just takes us into no man's land. So I'm not going to go there. On the oil and gas side, you're correct. Our direct oil and gas exposure is not large. However, indirect oil and gas exposure can be meaningful, meaning that we sell into industries that are also do well when oil and gas does well. So we would like to see some sustainability of the kind of the recent uptick in oil prices and I think if that can happen over a period of time, we'll see some reinvestment. And that should help us across a number of our business lines.
Operator: And our next question comes from the line of Jeff Hammond from KeyBanc. You may begin.
Jeff Hammond: Just on Contractor, if you look at kind of the bookings mix and what you're hearing from customers, do you expect kind of the smaller and the home center to continue to be strong in way on mix or what are you thinking there?
Pat McHale: Yes, it's kind of hard to predict. But I mean, that's what we've experienced recently. I think that in my time here at Graco, I've never seen anything like we've seen here in the last six or eight months on many fronts. And so we're not trying to predict the future. And we've withdrawn sort of our forward-looking guidance. But what I'm hearing and what I'm seeing, I believe that both this paint channel and home center channel are likely to remain favorable markets for us as we move through 2021 here.
Jeff Hammond: Okay, great. And then just on the six week booking, back on Industrial, is that growth pretty broad-based geographically, or is that still being driven kind of heavily by the Asia-Pac?
Mark Sheahan: Yes, I think it's more or less broad-based, Jeff. I don't think there's any one particular region that's standing out more than the others.
Operator: And our next question will come from the line of Joe Ritchie from Goldman Sachs. You may begin.
Joe Ritchie: Hey, Pat. Maybe just starting-off, you just tell us a little bit about how your parts and accessories business trended throughout the quarter versus maybe like new equipment sales?
Pat McHale: Yes, now looked right in line with how it always looks, which is not surprising, because that's how it always looks. But I think we're fine there.
Joe Ritchie: Okay. So, yes, I guess the question is really trying to get a sense for, whether maybe like [indiscernible] fixers is trending better than new, but what I'm sensing is basically trending in line with each other. Is that the right way to think about it?
Pat McHale: Yes, and you can go back, it's pretty amazing. You can go back in time and quarter-by-quarter and year-by-year, and it doesn't vary more than point or two. So it's really pretty steady. And I think there's more reasons for that than just what's happening at the end market level, you have to keep in mind that we ship our products, pretty much same day, we have some products, we don't, but the vast majority of our products and order comes in and it gets shipped out. So what the local distributors need to carry is they need to carry the service and repair parts that are needed to be able to take care of their customer. And so they'll typically carry inventory on service parts. And then they'll typically order the larger, more expensive items on an as needed basis. So I think that kind of has an accumulator effect, a dampening effect on what we see in our parts and accessories business, because distributors carry stock.
Joe Ritchie: Got it, okay. And then maybe just kind of following on maybe just a margin question for Industrial like, obviously, the incremental margins this quarter were extremely strong. And you guys didn't take a lot of discretionary actions in 2020. So like, how should we be thinking about the incremental margin in Industrial in 2021?
Mark Sheahan: Yes, I'd say like what we've always said, Joe, if we can get that mid-single-digit or higher top-line growth rate, we should be in the above 40% incremental margins for that business, that segment.
Joe Ritchie: Okay. Was there anything unusual that impacted the fourth quarter because you were in that mid-single-digit range, but that the incrementals were much stronger than that?
Mark Sheahan: Yes, I think the biggest, the biggest couple of things I mentioned, one currency definitely helped on the gross margin line. But also just the absolute level of spending that we had and the fact that we didn't have as much volume and earnings based expenses in the P&L in Q4 versus what we would have had a year-ago. I think those are the major factors.
Joe Ritchie: Got it, great. If I could maybe sneak one more, the 53-week year, I guess, just sales and margins impact. I mean is it just as simple as thinking like the two point impact in sales and is it -- any impact to margins from the extra week?
Pat McHale: I'm going to jump back for a second to your prior question. Just in general when you're looking at our different segments, looking at incremental margins quarter-to-quarter, I think is less instructive and looking at them on an annual basis because lots of things can make them jump around. So I think if you're really trying to figure out what's going on with incremental margins, you'll serve yourself well, by looking at the kind of the annual numbers. On your second question, the 53rd week, that's always a big debate internally here, too. What is that 53rd week work worth? Is it worth two days? Is it worth five days? Which days are they? Are they busy business days? Or are they between Christmas and New Year's? So, I can't give you an actual answer on that. And if you ask five business leaders at Graco, you'd probably get five little bit different answers. So it's probably somewhere between 1% and 2% on the top-line.
Operator: And our next question will come from the line of Matt Summerville from D.A. Davidson. You may begin.
Matt Summerville: Thanks, good morning. Just one question here, most of mine have been answered. As we think about, is there a way to think about how much lack of accessibility to facilities has hindered Graco's top-line? And the reason I ask is in the context of theoretically, this vaccine sort of ramps up maybe that tempers the accessibility issue for you guys. Can you see some release in pent-up demand? Is there a way you guys are thinking about that?
Pat McHale: I don't think it's measurable. Meaning, I don't think there's any way we can measure it. Certainly, we believe that not getting our salespeople in front of customers is hurting our top-line. We don't get a chance to push the new products, we don't get to be proactive, walking through factories, looking for opportunities to sell something that maybe the customer didn't even know that they wanted; you got a lot of the engineering folks to be working from home, which I think is less effective. So there's an impact there. But how to measure that I really have no idea. I think that, to the extent that we start to see the world loosen up, we're going to feel better about our opportunities. And we should see that in the top-line, particularly in the Industrial and potentially the Process segments. And we're kind of looking towards maybe the back half of 2021 to see some more normalization. As you've been watching in the news, right now, depending upon where you're looking in the world, there are different levels of loosening and tightening, and it's really hard to predict really one month to the next. So we're going to keep doing our job and do the best we can. But we would really like to have access to customers back to a more normal process.
Matt Summerville: At some point, Pat, I guess what would you need to see in your business? And it's great, by the way that you give the sales cadence and the six week order data? I really liked that granularity at some point; do you think Graco will get back to providing at least at a high-level, some sort of guidance framework? And if so, what do you need to see to be able to do that?
Pat McHale: Yes, I think it's likely that we will, I'm not going to promise that we will. But I think it's likely that we will. But we just need to have confidence that what we're telling you is got something behind it. And right now, anybody who thinks that they can predict what the world is going to look like in three or four months is probably, it's probably a coin flip or a swag or whatever. And we try to be a little bit more finite with our guidance than just taking a guess. So we're just going to hold off here. And I think you have to make some macro calls when you take a look at the world. And you take a look at what's happening with other industrial companies, and what's happened with macro data and what's happening with COVID and try to make some call on your own because from our standpoint, it's pretty much of a wildcard.
Operator: And the next call comes from the line of Drew Buscaglia from Berenberg. You may begin.
Drew Buscaglia: I was hoping you could -- can you give us some indication around margin expansion potential in 2021 because there's a lot of puts and takes and that costs are going up, it seems like you're going to have pricing offsetting some of that, and you're going to face really tough comps in contract or even on the margin side. So where is the juice for margin expansion next year, or this year rather?
Pat McHale: So I think the positive view is with commodity prices going up. Typically, that would indicate that things are going to be good on the Industrial side of our business. And obviously, we've got great incremental margins on the Industrial side. What we saw in 2020 was the Contractor growth really care the organization, lower overall margins, and really pressure on Process, Industrial on the top-line created some challenges for us on operating margins. So I think as you see Industrial and Process pop back you're going to see those 40% plus kind of incremental operating margins that are going to drive nice profitability for Graco. I really like to see those in the high-single-digits, which would not be unusual at all for recovery. We see recovery in the past, getting high-single-digit growth out of our Industrial business has been something that we've seen. I think it's more of a question about when and if I expect it to come back. But I just don't know exactly when, obviously fine [ph]. Short-term we're looking positive. And we like that. But I think there's still some uncertainty the next half year or so here.
Andrew Buscaglia: Yes, okay. Okay and Pat, you're kind of in a pickle with use of cash here, because it sounds like M&A is tough valuation wise, your stocks not exactly cheap so you can't really do a big buyback is probably unlikely. I know, how are you thinking about use of cash and with M&A wouldn't you guys be able to find some accretion, just given the kind of where your valuation is relative to companies you're buying?
Pat McHale: So I think one of the keys during times like this is to be patient. We don't have -- I don't have any hair, but if I did, it would be on fire right now because the amount of cash that we have in the bank, that provides us some nice opportunity to do something. We continue to be active in looking for M&A opportunities. I was just suggesting, really, that if you're building a model, I wouldn't put it in there. We're not going to go out and do something just because we have a pile of cash, our shareholders expect us to invest that and get a good return. And they don't expect us to go and just blow it off the balance sheet immediately on a poor return investment when a little bit of patience could be in order. So we're going to do like we've always done, and we're going to be opportunistic, if we see opportunities to buy our stock back at what we think are good, good prices. And we're going to look for M&A opportunities, we're going to invest back in the business and new product development and automation and other cost reduction projects and I think Graco, Graco program is going to continue and hopefully we'll continue to put up results like we have in the past. But yes, I don't feel any urgency on it.
Operator: Thank you. And our next question will come from the line of Walter Liptak from Seaport Global. You may begin.
Walter Liptak: I wanted to ask about Industrial. And I guess, it's good to see sort of these early signs of recovery, especially in that six week bookings number. And I wonder, as you looked at the data, was there anything that stood out to you like geographically or by Industrial sector, that you could might give us some insight into what's going on in the Industrial sectors?
Pat McHale: No, as Mark alluded to, in an earlier question, it seems to be spread out, not just all concentrated in one spot. And again, when you see what's happening with commodities that would kind of indicate that there's some reason for optimism here. So we'll have to, we need a little bit longer time before we're going to get bullish on it. But I would say that we feel positive about where we're at versus where we were at six months ago.
Walter Liptak: Okay. Is it -- any thoughts about, is this new capacity that's coming online? Or is it capacity upgrades because of new products?
Pat McHale: Well, the world has been producing. But, there's been some interesting dislocations out there in the marketplace. And then there, of course have been lots of, I'll say, unusual situations just in terms of employees at work, and what are they doing? And I feel lucky for Graco as an organization; our engineering groups have remained very active. They've been -- they've been on site, they've been getting the job done. We've been investing in capital equipment, buying robots and automation. But certainly that hasn't been the case. There have been lots of factories where they're hanging in there, and they're doing what they need to do to get buy, but they're minimizing the number of resources that they have on the ground and definitely puts a damper on Industrial CapEx. So it's a very unusual situation, and it's pretty fluid. And I'm not sure exactly what it's going to take to get it back. But I would say that the likelihood that is six months' worth of vaccines changes things, at least in key markets in Western Europe and the U.S. seems to be favorable.
Walter Liptak: Okay, okay. And just thinking about those six week orders again, as you look through those, is the timing of shipments stretched out or is this stuff that will go in early in the year for installation?
Pat McHale: So we have some businesses within Industrial that have run on backlog and longer lead time. But, I haven't parsed the six week numbers. So I can't give you an exact thing. But my sense is, is that it looks pretty much like it typically does.
Mark Sheahan: Yes. And I would just add that the six weeks is a pretty short time period. So, there's some danger involved in trying to extrapolate those numbers, there's systems jobs in there, there's some lumpiness, both positive and negative. So take it with a grain of salt.
Walter Liptak: Okay, well, it's good to see it, so. Okay. Thanks, guys. Okay.
Operator: Thank you. And if there are no further questions, I'll now turn the conference over to Pat McHale.
Pat McHale: All right, well, thanks, everybody for your participation here today. Thanks to all the employees for the great job that you did in the quarter. And we're going to start 2021 out with a little bit of momentum and we're going to do our best to have a decent year. So with that, we'll signoff.
Operator: This concludes our conference for today. Thank you all for participating. You have a nice day. All parties may now disconnect.